Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers Investment Conference Call to discuss the results for the First Quarter of 2015 and recent developments. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting at 12 PM on May 8, 2015 in the Investor Section of Research Frontiers website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of these questions that were e-mailed prior to this conference call, either in their presentation or as a part of the Q&A session at the end. [Operator Instructions] I would now like to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thanks Daniele, and good afternoon everyone, and thanks for participating on today's conference call. Joining me today is Seth Van Voorhees, who is our CFO and also Heads up our VariGuard Division. I think that the numbers are well explained in the 10-Q and our cash position and balance sheet is solid, with no need to raise additional capital in the foreseeable future. While we’re focused today on questions that were emailed to us in advance of this conference call, I expect that my answers will everyone a better idea of what’s happening in each industry using our SPD-Smart glass technology. Seth and I will answer as many questions that were emailed to us in the course of my presentation or afterwards when we hope to have additional time for some more Q&A. Before we delve into the details about what has happened in each market, let me answer a few general questions that were emailed to us. Neil asked about dividends; do you expect to start paying dividends when revenues exceed expenses at some level of working capital, has the board discussed what level of cash would be required before dividends will be paid to shareholders and with the suggestion please do not buy back stock or use the cash to invest in other companies until you are paying dividends at a level of $2.00 or more per share. Yes, Neil, while speaking for myself I think I expressed the sentiment of the entire Board of Directors when I say that we expect to start paying dividends when cash levels permit it. Rich Cutter asked Joe, when can we expect the stock price to increase, I’ve been waiting for 10 years and getting closer to retirement. So I’d maybe I’d ask Seth to answer this question, just to help put things in context.
Seth Van Voorhees: Thanks very much. Well, obviously we recognize the best thing to do in terms of influence in stock price is to execute our increase in our revenues and our profits, and everything else is pretty much out of our control right. However, I would say it’s not something, it is something that we closely monitor and if you observe our performance for various periods, it can vary from being ahead of the marketable or behind the market, but I would just – what we follow is terms of benchmarks are the NASDAQ as well as the Dow Jones, and for the year-to-date we’ve exceeded both those indices and for the trailing 12 months we're in the middle of the pack, with NASDAQ being ahead of us and Dow being behind us. I think the most important thing I would say though is in addition to those broader indices we also compare ourselves to companies that are similar IP focused entities. And this is by no means a comprehensive list, but we have five names that we track that are – some of which are significantly larger than us and some of which are a little smaller, but if you look at the IP index of companies that have the similar business model that are royalty generating and licensing businesses, the market performance that they’ve occurred over the last year-to-date, we’ve significantly outperformed. We’re up about 14% for the year versus decline of 8% for the IP index that we track and for – I’m sorry 11% versus negative 1% and for the trailing 12 months it’s even larger spread of 14% versus negative 8%. So I would say is that we recognize that there are – people have choices in their investments and we certainly monitor it, but we fully recognize that at the end of the day we don’t control what our stock price is and the best way we can move our stock prices to generate profits. Joseph Harary - President and Chief Executive Officer The next question is from Robert Shorin, he says can you explain why we have not seen an Apple or Samsung use Research Frontiers technology on their phones. This would seem to be a no-brainer with the glare issues all smartphones have. Has anyone from your company approached them about this, are they aware of what you can offer them? I feel this could be a huge revenue stream and if one of them picked it up, the other ones would follow? Well thanks, Robert, we have NDAs with some of the major technology companies such as the ones you mentioned, so from that I guess you can infer from this that they certainly are aware of the benefits that SPD-Smart technology offers and some of these non-traditional but eventually very high-volume other product applications for our technology. Peter Richardson asks any further activity in the marine and museum sectors? The short answer is yes, they continue to be active and highly visible markets for us, and I’ll talk about them a little later. But I'd like to now jump right into questions about the automotive market, where 70% of our revenues came from last year. Probably the most important question on people’s minds are when will the V222 high volume S-Class Sedan with the Magic Sky Control option be available and start generating significant royalty revenues for Research Frontiers and until then what is current fee income for the first quarter of 2015 comprise of? Well, we can’t even give full year revenue projections because the production callouts that we get and even the ones given to the factory production people at our licensees like Asahi who is doing the S-Class variants, and Pilkington, who is doing the SLK and SL Roadsters only go out about three months in advance. Daimler has not publicly announced the availability dates for the pricing of the Magic Sky Control option on the S-Class Sedan or the V222, so we can’t give any further guidance on what the revenues would be. However, Peter Richardson continues to ask in his question what is the current price of the Mercedes Magic Sky Control roof, how much has it come down? That information, I can’t give to people. On the SLK and the SL, where there is about one half a square meter of SPD-SmartGlass in the roof, the retail selling price to the car owner is $2,500 in the US. Keep that number in mind because on the S- Class Coupe, which is 1.32 square meters or basically three times the size of the SLK and the SL, it sells for the same $2,500 in the US. On the Maybach, the pricing $4,950 for the panoramic two roofs that are on the vehicle, and this totals 1.7 square meters of SPD-SmartGlass and the roof area. So you could see that the pricing has come down substantially, but also that the retail pricing depends somewhat on the demographics of the car buyer and what Mercedes feels is the optimum pricing for the option in each market. Now let’s delve a little bit deeper into our license royalty revenue numbers. I’ll talk both about a comparison of the first-quarter results with the same period last year and also with the fourth quarter of 2014, which is previous period from the current one. Fee income in the first quarter of 2015 was up a little more than 23% from the first quarter of 2014. As we noted in our 10-Q, as is typical with cars in the later years of their model cycle, the total number of vehicles produced normally goes down, so one would expect the total number of vehicles produced by Mercedes for the SLK, which is now in its fifth year of production and the SL, which is now in its fourth year of production to be lower. So with lower unit production even with steadier increasing take rates, overall revenues can go down. Also we get paid by our automotive licensees such as Pilkington and Asahi in dollars, but they get paid by Mercedes in Euros. So at the end of each quarter in accordance with our license agreements they translate their sales from Euros into dollars and pay us in dollars. Between the end of the first quarter of 2014 and the end of the first quarter of 2015, the Euro went from a $1.38 to $1.08, which is a decline of almost 22%. So our automotive royalty income in the first quarter of 2015 compared to last year was lower because of these exchange rate fluctuations. Since the end of the first quarter, the euro has rebounded by almost 5% and it’s currently around $1.13. I’m happy to report that all of this was more than offset by royalties from the S-Class coupe and the S-Class Maybach roofs by Asahi. And the royalty income from the automotive sector was actually up by more than a third between the first quarter of 2014 and the first quarter of 2015. And more than all of the change in royalty income between the fourth quarter of 2014 and the first quarter of 2015 was due to changes unrelated to sales of SPD-SmartGlass products. This means that the royalties from sales of SPD-Smart products was up between the fourth quarter of 2014 and the first quarter of 2015. Also I think it’s important to note that royalties relating to the S-Class were up versus the prior quarter in each quarter of 2014 and royalties in the first quarter of 2015 from the S-Class were almost double that of the fourth quarter of 2014. There were some questions about automotive OEMs other than Mercedes. A shareholder says on the last conference call you mentioned that I'm paraphrasing for those of you who have been waiting to hear about the next OEM that will adopt SPD glass on their cars, you’ll be finding out very soon, were you referring to the Lincoln Continental? Yes I was partly referring to the Lincoln, but there are also other OEMs that I'm confident will adopt SPD-SmartGlass in their cars. We’re working with almost every major premium car maker in the world. George Wohanka writes in, we all understand that you are bound by privacy and confidentiality agreements. Since Volkswagen announced the concept car in Shanghai, which uses foil or perhaps film which produces results similar to SPD-SmartGlass are in your opinion competitors gaining on Research Frontiers? This question is open-ended and even if your answer is no, you will not have invalidated any agreements you have with your licensees, so please answer this question. George, thanks for phrasing it in a way that I can answer because of our NDAs. And to directly answer your question, no, I do not think that any competitive technology is gaining on Research Frontiers, especially in the automotive context of your question. Also you have to be careful about reading too much into how something is described, often SPD gets lumped in with the generic electrochromic label and also “foil” is how to they refer to film in Europe. And the only two film-based switching technologies that are commercial are SPD and liquid crystal and if you know anything about liquid crystal they will not shade or block light or heat, so not really suited for a roof system. We of course prefer when automakers like Ford call us by name SPD-SmartGlass. There is a difference in technologies and we’re working to make sure that people understand the differences and the performance advantages of SPD-SmartGlass. Peter Richardson ask when will the Lincoln Continental go into production? Will the Magic Sky Control be standard or optional? Well first, let me make clear that Lincoln will probably not be using the Magic Sky Control name since its Mercedes trademark, but I was really, really pleased to see Ford’s brochures and other marketing materials that they distributed at the New York Auto Show, where they correctly refer to the glass as SPD-SmartGlass technology. And it’s nice to see if somebody get it right. To answer the question about when will it go into production and will be an option or not. Ford’s CEO Mark Fields made some very clear and direct statements in the Lincoln press release that went out at the end of March right before the New York Auto Show where the Lincoln Continental concept was launched. He expects the Continental to go into production next year, in basically the form that the concept showed when it was launched at the New York Auto Show. So we don't know yet and Lincoln has not yet announced whether this will be standard or optional equipment on the Continental, where the exact introduction date for the Continental. However, in my personal conversations with Mark Fields, he was very enthusiastic and excited about the SPD-SmartGlass roofs in the Continental and it got a very positive reception from the automotive and lifestyle press both in New York and also at the Shanghai Auto Show where it made its Asian debut later in April. And the car seems to be a strategic offering by Lincoln and that the high-end market in China, which is very, very important profit wise to all of the premium automakers. Jared Albert asks, can you make any comment about the interview in which Mercedes Chief Engineer of the Maybach in which he calls the Magic Sky Control on the side windows the aquarium look? Yeah, I can comment somewhat. His boss who designed the Caren S-Class including the Maybach personally disagreed with the answer and also was not very pleased with the way it was delivered to the reporter, but in fairness of the Chief Engineer it was a long interview and somewhat informal and I’m sure in eight hour ride they might have even had some champagne together. So maybe he was speaking somewhat loosely. Dave Paradiso ask, can you give us an update on the bus and truck sun visors. Happy to report that Vision Systems is moving with the sun visor program, now with more than one automotive OEM on this. I’d like to move now to our second largest market currently, the aircraft market, which represented about 15% of our revenues last year. Jared Albert asks, according to the Flight Global article Boeing is testing a quote second-generation electrochromic film, can you speculate if Gentex has improved it’s electrochromics to the point that it will address the speed and level of darkness problems that the current Dreamliner window seem to be having or is the second-generation some other technology. Let me start by saying Flight Global does a really good job of reporting, but as I noted earlier in the context of the question about Volkswagen, electrochromics are not a film and they're not necessarily referring to Gentex, which happens to use a gel not a film. There have been many public reports about problems with the 787 Dreamliner electrochromic EDWs or Electronically Dimmable Windows. And also reports that Boeing and Airlines are working on solutions. I can't comment on the accuracy of the report you mentioned that indicates the seven 777-ex program is testing a new generation Gentex EDW. But based on public information Gentex continues to work with electrochromic technology and they're trying to improve certain performance characteristics; for example PPG Gentex first announced the darker electrochromic EDW at the NBAA Show in 2010. It’s five years later and the darker EC window has not yet been delivered to customers. You mentioned, Jared, the level of darkness and the speed of switching for electrochromic. There are certainly two very serious problems with electrochromic technology and there are also areas in which SPD does particularly well. There is also a third area of concern with electrochromic technology. There have been public reports of too much heat being transmitted through the ED – electrochromic EDW, while in flight even when it is in its darkest state. SPD windows have thermal insulation that are superior to electrochromics. Also when an aircraft is parked on the ramp, electrochromic windows are in their most heat transmissive state, while SPDs are in their maximum heat blocking state. This makes for a cooler cabin upon boarding and de-planing, and reduces the need for external cooling sources, thereby saving money and reducing CO2 emissions. And many of you who have probably experienced an airline asking you to lower your window shade before leaving the plane, especially in a warm climate and that’s an attempt for them to keep the cabin cooler and SPD EDWs went on the ramp to perform better than even closed shades and also the windows automatically switched to a maximum heat blocking state. So there is some real substantial advantages there in terms of heat. Another issue in aircraft with electrochromic is weight. Electrochromics are coded on to glass while SPD can use light weight poly carbonate or [indiscernible] composite glass. Getting back to switching speed for a moment Jared, I want to add that because SPDs can switch instantly, cabin wide automated daylight management can be offered using photo sensors, so the same amount of light can be maintained automatically and in real time, these are about a few of our advantages. I think you’ll see some exciting developments soon in the aircraft industry and a clear trend towards SPD technology in various areas of the aircraft including the passenger cabin and in the cockpit. In the interest of time, I’ll move quickly to the other markets. Jared notes correctly that Smartglass International is listed as an inactive licensee in the 2014 annual report and asks this simply a cut and paste issue from previous reports given the reorganization in 2013? And the answer is yes, sorry that was a left over from the language in the prior 10-K that should have been updated. Smartglass International was acquired by Diamond Glass in 2014 and they do a great job with SPD and are active in the architectural side of the business. They became a licensee of ours in 2014. Jared also asks, are the payback periods for high-end architectural projects in areas with both high utility cost and high cooling loads starting to make sense for SPD inclusion? Well certainly in areas where there is high energy cost the payback is quicker. But also projects like the Milan Expo, which we’ll talk about in more detail show that energy consumption of SPD-SmartGlass can be quite low, 10,000 square feet of the glass there uses the same power, there is a only a few label. And utility cost in cooling loads certainly play a role in the payback, but architecture also looking at the other benefits as well, such as reducing expenditures on shades, preserving views and daylight harvesting to reduce energy costs for eating and for illumination. Claire Holton asked the question, the quote below is presented on MSN.com as one of the 10 or 12 inventions that could have significant changes in the world, would you comment on the effectiveness of this product and how it compares SPD technology and what competition it presents? This is what was in the website that he was referring to. Giron has invented an intelligent window. An electrified glazing on his windows can convert the sun’s rays into warmth to heat homes in winter. The glazing also darkens in the summer think about transition lenses, to limit the amount of sunlight that gets in. Giron’s invention can reduce a building’s energy costs by up to 20%, according to the EPO. Giron is Vice President of Technology at SAGE Electrochromics, a division of Paris-based building materials company Saint-Gobain. Thanks for your question Mr. Holton. To someone who is not familiar with smart window technologies, any glass that switches may appear amazing. And some technologies though are more intelligent than others. The market has said numerous times that SPD-Smart technology is the better technology. It is the best-selling smart window technology in the world for a reason. First of all, SPD is faster, the SAGE windows referred to in the quote would take tens of minutes to switch, SPD-SmartGlass switches in about two seconds. SPD is darker, the SPD-SmartGlass in the Mercedes and in the USA pavilion roofs will get four times darker than SAGE’s best dark glass and six times darker than View’s best dark glass. SPD also has the best range of light transmission, it also has better heat blockage. Our published data shows our Solar Heat Gain Coefficient to be 50% better than SAGE’s or View’s best published data. SPD has no iris effect. Basically, the change is uniform where it’s not necessarily uniform with large area electrochromic. And we use lower current, as Jim Biber noted in the recent press release about the USA Pavilion, the 10,000 square feet of glass in the USA Pavilion roof use the same power as the few light bulbs. SPD can also be used on curved surfaces and irregular shapes, electrochromic glass cannot. The answer to your question, can we compete? Yes. Do we have better performance? Yes. And what does the market say? Well, in automotive we’re the clear winner. We’re in four different models in Mercedes-Benz cars and in April we appeared at the New York Auto Show and Shanghai Auto Shows and the new Lincoln Continental concept. In the aircraft industry, they’ve seen the seeds of change already out there. We’re standard equipment on the Honda Jet, Falcon 5X, and optional equipment on many other aircraft. Electrochromic is now flying in one aircraft model, the Boeing 787. I think that this year, our shareholders will see clear trends in the aircraft industry towards SPD and away from electrochromics. In the marine industry, we’re also the clear winner there. We’re on the Cheoy Lee Alpha 76 Express, the Alpha 76 Flybridge, the Hatteras 100. And as I said in our March Investor Conference Call, 2015 will show some new stunning yacht designs for customers that are only made possible by SPD-SmartGlass. In the Museum artwork protection market from VariGuard, no other product in the world can give such an effective combination of allowing visitors to view artifacts, while protecting them from UV and visible light damage. We’re in a number of different museums protecting priceless works of art, documents and other artifacts. We’re in the Smithsonian and even jointly participated in a study with them on the effectiveness of SPD-SmartGlass VariGuard products. These study showed remarkable protection levels, in some cases an object will not be permitted to be shown to the public without our glass protecting it. I would say that the architectural market is the main market where we or our licensees face real competition. The market will decide here too. Based upon the clear performance advantages that I summarized earlier, we think that SPD-SmartGlass can be the clear winner here too. Specially, since it has demonstrable performance advantages. And maybe the best thing I could point to is very recent, facing similar cost for the SmartGlass, the USA Pavilion and its lead architects both abandoned the electrochromic technology, but they had originally chosen and substituted SPD-SmartGlass as the official SmartGlass for the USA Pavilion, which takes me to Pat Delaney’s question. Does Research Frontiers have a presence at the American Pavilion in Milan, if so exactly what is the nature of that presence, if not, how would a visitor to the Pavilion realize that the company has any connection to the glass roof, assuming they do not read RFI’s press release, thanks. Well thanks Pat for a great question, we do have a very strong and visible presence at the Milan World's Fair, and I will explain that in more detail, but first, I’d like to give everyone some background information. In March, the USA Pavilion, the lead architect Jim Biber our licensee in Italy, Isoclima and Research Frontiers announced that SPD-SmartGlass technology was chosen to replace electrochromics as the official SmartGlass of the USA Pavilion at Expo Milano. Here is the background on how we got to that point. We were asked for information from the lead architects in late July. We met with them and demonstrated SPD-SmartGlass in a large outdoor roof setting, immediately the architect realized that we were to quote him or to paraphrase him, an order of magnitude better than the electrochromic technology they were planning to use. Fast switching speed, the ability to get significantly darker, the uniformity of change and heat management all exceeded the performance specs that were given from the electrochromic glass manufacturer. We then had to coordinate an effort across three continents in Japan, Italy and New York to make it all happen on a very accelerated timetable. The USA Pavilion had to have its roof designs modified, GE had to develop a control system, film had to be produced and shipped to Italy where insulated glass units would then produced, and by early March the SPD-SmartGlass was already being installed and the control systems sponsored by GE were being finished, and in April it was done. Sounds easy, but I must say that this is a real tribute to the coordinated effort of many companies. Charlie Faas, the CEO of the USA Pavilion and Jim Biber and his firm have been a pleasure to work with. They’ve had to design and build the USA Pavilion, as if it was a permanent building even though World’s Fair rules required that all structures other than the home country’s pavilion be taken down right after the end of the World’s Fair. It had to accommodate an estimated 136,000 visitors a day or 25 million people over the six-months that the World’s Fair is open. This was a Herculean task and they were one of the few countries that actually had their Pavilion finished and fully operational by opening day, which was this past Friday. And all of this was done without one penny of taxpayer money, unlike all of the other countries participating at the World’s Fair. To give you a little more background, Jim Biber wanted to get away from the closed box building structures that are typical in most Expo Pavilions. He wanted something open, airy and transparent and our SPD-SmartGlass echoes that entire design concept for the USA Pavilion. It is also undoubtedly by many accounts one of the top attractions at the Milan World’s Fair. Everybody at last Friday’s grand opening ceremony from the ambassadors present to the staff and visitors knew about the glass and enjoyed it. When ambassador Doug Hickey was appointed to be commissioner to the Milan Expo by Secretary of State John Kerry in December, I was invited to the ceremony in Washington where I learned that even our Secretary of State knew about our SPD-SmartGlass. The USA Pavilion wanted to showcase the best that America had to offer and we were honored and proud to have been selected to be part of such an important effort. We have many events planned around our presence at the USA Pavilion, all geared towards continuing the success we've had to develop business in all of our markets; automotive, aircraft, museum, yacht and of course architectural. Pat Delaney has asked about, what is the nature of our presence there? And I will give you a little more detail, but I hope you have a chance to see it for yourself, on the entrance floor to the USA Pavilion there is a sponsors wall, our name and logo are prominently featured on that wall along with GE, Microsoft, 3M and many other world-class companies. We are also prominently featured on the USA Pavilion website, in their social media, and in the materials they distribute about the USA Pavilion. As you go up the escalator to the roof deck of the USA Pavilion, the VIP and public areas are all covered with our SPD-SmartGlass. This is a welcome feature whether it’s sunny and you want relief from the heat from the Milan summer, where we block over 95% of the heat or relief from the rain. As you walk along the roof terrace there are about 100 yards of glass over your head, yes, the SPD-SmartGlass roof is as big as a football field and it is impressive to see, especially on a sunny day when the roof is animated and switching. There are 13 banks each containing 24 SPD-SmartGlass panels made by Isoclima using Hitachi chemical SPD film. Each panel is one by three meters and can be controlled individually. There is also an information panel at a key location on the roof terrace that has information in English and in Italian about the roof, the technology used, its benefit and specifically to us, that Research Frontiers, Isoclima and Hitachi were involved with its production along with our logos. Underneath, there is a QR code that people can scan on their smartphones that immediately takes them to our smartglass.com website. We designed a special landing page for this so that people can quickly get information about us and our technology. It has a great and innovative look and feel and I hope you enjoy visiting it. On this same information panel there is touch screen that allows visitors to operate all 24 windows in the bank of panels right above their heads. In essence you can pay the roof panels like a piano. You should also know that the roof terrace with our SPD-SmartGlass is the main focal point for the events taking place over the next six months at the USA Pavilion. There is a variety of events planned there, VIP events, public events, that will be conducting terrace talks, which are similar to ted talks on various issues. And the VIP conference rooms and dining areas is also on the roof, as well as the venue for festivities and gatherings every day and night. Keith Richardson asked, do you expect to achieve major coverage tied to the Milan SPD and architectural magazines and websites do you expect them also to cover architectural retrofit possibilities? Yes, Pete, I believe that we have captured the hearts, minds and imagination of the architectural community quite effectively with the SPD-SmartGlass roof at the USA Pavilion in Milan. Almost immediately after the press release that we all issued about the grand opening of the Pavilion on Friday, Research Frontiers immediately began receiving increase in interest from the press and I just received about an hour ago some links from a TV anchor on two stories that were done in Philadelphia and New Jersey about us. We’ve already a seen a noticeable increase in social media marketing results as well. Since we’re very visually stunning technology that lends itself particularly wealth a video-based marketing we focus primarily on the YouTube and Facebook marketing channels, as well as Twitter. On Facebook, we’ve nearly tripled the number of likes in our Facebook post in the past three months compared to last year. Even more dramatic is our YouTube channel where video distribution and marketing is particularly effective. In February, we started to build the excitement before the Milan Expo project was even announced and views across all videos in February were four times that of the prior month. Particularly popular was the Asahi WONDERLITE commercial video that they produced. And that video on our site got more hits than even the site of the advertising agency that produced it or even Asahi’s website itself. This reinforces that we have built a strong and loyal audience on YouTube that has been an effective source of information for people interested in our technology and that follow the automotive aircraft, yacht and architectural industries. In March, we went up over 40% on YouTube with particular emphasis on the announcement and details about the Milan Expo, and in April, YouTube views were up another 18% or so above these escalating levels, primarily focusing on the Lincoln Continental and the touch less gesture control the aircraft window from Vision Systems that debuted at the Hamburg Air Show. And results have may also show good high levels of activity on social media and that’s really before the event started. Engagement rates with their audience are also quite high and we’re very pleased with these results. It is also very inexpensive to do this, if you know who is doing in the area. We also expect that coordination with the social media campaigns of others will continue to bear fruit. We invite people to keep returning to our website and YouTube and other social media sites that can be accessed from our website homepage. We will constantly updating it with content and images and video, especially about the Milan Expo. It’s quite impressive visually and when you see some of the people’s reaction pressing the touchscreen and operating SPD-SmartGlass roof panels, it’s even more exciting to see their amazement and enjoyment. Better yet, go there yourself with your families and see it. It’s quite incredible and you'll enjoy yourselves both as a visitor and in knowing that you're involved with a company that made such remarkable structure of possible in such a fun and functional way. I’d like now to ask the operator to open up the queue for any questions that we weren’t able to cover.
Operator: [Operator Instructions] Our first question comes from Michael Kay from Kay Associates. Please go ahead.
Michael Kay: Hello Joe, by the way that was a tremendous example of fantastic theme work the way in which Research Frontiers and the licenses got together on a short notice to build the SPD Pavilion there.
Joseph Harary: Thanks Michael, if you figured out the time zone differences between Europe, the United States and Japan, the sun never set on our effort.
Michael Kay: Yes. You know, initially it seemed that one factor inhibiting companies from adopting SPD was the course, now that the course have gone done considerably, on the one hand it means the royalties will be lower, but on the other hand do you envision that many companies that were inhibited from adopting SPD because of course, by the way, then sitting on the fence, will now come to board because the course has declined?
Joseph Harary: Right. And you know, you have the early adopting 2% that gets you the next level, which is 10% of your relevant market and then from there it takes you about the same amount of time to get the next 80% of your market. So moving up that early adopter curve is something that we’re really happy we’re doing now.
Michael Kay: And is the company still trying to develop a black particle, have some potential customers indicated they prefer the black to the blue, or is that not a major factor?
Joseph Harary: No, it would be nice to have black, it’s not a necessary condition and when you consider the fact that our current SPD film has the widest light transmission of anything on the planet, people are pretty satisfied with the performance, but I think you know us and especially Bob Saxe were a determined bunch of people here and we are always striving to do better and better and better. So everything is certainly being worked on including that.
Michael Kay: Thank you very much.
Joseph Harary: Thanks a lot.
Operator: [Operator Instruction] The next question comes from Ronald Rizado from Capital Securities. Please go ahead.
Ronald Rizado: Hey, Joe how are you?
Joseph Harary: I’m well.
Ronald Rizado: Good. Just a quick question Joe, on the cars overseas that are allowed to have dark windows on the sides, all around the sides, is that something that’s actually being worked on?
Joseph Harary: There is a number of automakers that are looking to develop side windows for the vehicles and as you alluded to in your question, in Europe the rules are a little bit different. In the US anything behind the B panel, that's on an SUV can be dark, but on a passenger car there is certain restrictions. In Europe anything behind the B panels, the B pillar rather can be any dark as you want, so the European market is a lot less regulated than the US market. And their privacy is one of the things that they value, so same thing in Asia, but I think that side window glass is something that you’ll see probably first in China and in Europe, and then it will come to the United States.
Ronald Rizado: Terrific, well congratulations, that was great in Milan, really.
Joseph Harary: I hope you have a chance to visit it Ron, it really is amazing.
Ronald Rizado: Terrific, thank you.
Operator: The next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Good afternoon gentlemen, wonderful presentation. Having being involved with this sense of the early 70s, I’m glad to see it all finally come into fruition. I was like the other fellow there that is ready to retire on pass that, but I’m still working, but I’ve been with you the whole way, so it’s great to see it happening? And my question was going also be about the side curtains, but you just answered it. But I wanted to make the comment that it’s great to see this coming along at a fast pace and what you did between Europe and Japan and the United states was nothing more than unbelievable that it got done. Wouldn’t have gotten done in the United States.
Joseph Harary: Thanks. I appreciate it. And I do appreciate your patience and support. I do hope you have a chance to actually see the fruits of your labor by going to Milan and seeing what 10,000 square feet of smartglass above your head looks like especially when it’s dancing to the amazing animations that the architect can program into their screen.
Unidentified Analyst: That would be a wonderful thing. Well I’m sitting out here with an SUV made by Audi that has a lot of sunroof, and I'm in Florida and it gets extremely hot, so the 20 degree difference would make a very big difference.
Joseph Harary: Absolutely, I grew up in Florida where if you leave your car at the beach for two-hours, you can’t sit on it when you got back in, and now with the SPD roofs in these cars, the difference between being 90 degrees and 72 degrees.
Unidentified Analyst: And when you're working on the architectural thing, I assume you're working with some of the window manufacturers for homes, as well like an Anderson or somebody like that?
Joseph Harary: Yeah, although it’s not really lending itself to the very high-volume premium window companies because they tend to make 10,000 windows a day and when I have standard sizes, most architectural applications in where this is going into are the ones where there is – pretty custom requirements, magnificent views, panoramic views that you want to not have to shade or worry about, so it’s mostly actually the architects, the designers, and their window company that just like we did in Milan it’s a coordinated effort to make sure that everybody is happy with the results.
Unidentified Analyst: Yeah. Would come down here, I happen to have a red couch in my family room and I live right on the Bay in Sarasota, and I have lots of French doors and we have a little throw over one part of the sofa which is red and everything else is pink, and if we had your windows it all still be red.
Joseph Harary: It will all still be red, right. Thanks for your investment and also for your patience to get us to this point, we really appreciate it.
Unidentified Analyst: I’m waiting for the income next, so I’ll be there. Thank you gentlemen.
Operator: Next question comes from August Burman, a Private Investor.
August Burman: Hi Joe, how are you doing?
Joseph Harary: Very good, how are you doing?
August Burman: Good, good. So I just had a question on – so I’ve been kind of just following some news form BMW lately and just kind of get a sense from you I'm still a relatively new investor in Research Frontiers, so I’m trying to get a sense of when things come out, is the next big auto show the Frankfurt Auto Show?
Joseph Harary: Yeah, the next big one is Frankfurt in September.
August Burman: Is it a tradition that OEMs release information about potential SPD-SmartGlass usage at those auto shows or is that kind one off, not necessarily drawing those auto shows?
Joseph Harary: Usually it’s at the auto shows that they will announce it, but it also depends on what their competitors are doing. So, for example when Mercedes announced the S-Class Sedan, they had a special event at the Airbus Hangar in Hamburg, and I think part of that was that they didn’t want to get their thunder stolen by an announcement of a new model or a new engine by one of their competitors, so it’s kind of a back and forth that goes on, I mean these guys are quite adept at figuring out what they want to say and when they want to say, but it’s typically at the show itself and when the cars is released. And I’ve attended press days on most of the auto shows, you can go there and they will not hand you the press packet until the press conference is over, so it literally is, if you look at the press conference schedule, you could see what time of day Mercedes for example or BMW is having their press conference, and typically right at the end of it you start seeing the flow of information come out.
August Burman: Okay. Got it. Okay, well very good. Definitely getting excited about the story as I hear more and more every conference call.
Joseph Harary: Glad to have you on board. Thank you.
Operator: The next question comes from Alan Denzer from Stifel Nicolaus. Please go ahead.
Alan Denzer: Joe?
Joseph Harary: Hey, Alan.
Alan Denzer: How are you doing?
Joseph Harary: Doing great.
Alan Denzer: Very good presentation. We’re applauding your efforts, the one problem I have being that I’m a broker with over a 100 accounts with this stock in it. Is it we need to have some more representation out at about through a financial public relations firm, when and are you going to hire someone to help you with all the inquiries you’re undoubtedly going to get and to expose yourself more to institutional and other share – potential shareholders in the future?
Joseph Harary: Seth, you want to.
Seth Van Voorhees: Sure. I think we take your point, and I think it’s a good suggestion. We are very appreciative of the fact that you know as we continue to evolve as a company going from you know what some describe as a story stock to a company now on the cusp of broad adoption with revenues in tow, those are fundamental changes that will attract hopefully a lot more interest in our company, to manage that we’ll take additional resources that we certainly are considering. I think there are different ways you can approach how you’re going to deal with that problem, however I think our view on the subject is that we want to actually have revenues have been posted as opposed we talking about revenues that will be in the future. Even if those revenues are in the near future. So I think it’s something that we are actively considering for the near-term, I should say in the intermediate term, but not in the very near-term. But we certainly appreciate your suggestion and we fully recognize it’s a nice problem to have, but we want to take advantage of it.
Joseph Harary: Maybe expand a little bit on what Seth had said. In preparation of that effort, we want to make sure that the investor relations professional that we retain are presenting our story in a very responsible way. So one approach is to basically ask our top institutional owners who they like and who they use, and who they welcome into their offices with good ideas on investments that made them money because we feel that that’s probably the best path to connect us with the right investors for Research Frontiers, so it’s something that we've already identified I think, some very good firms to work with.
Alan Denzer: I'm just anxious to see it happen because I’ll know that when you finally do take that step, you’ll make an announcement of that, and that will show us that you’re about to show an increase, maybe a dramatic increase in your royalty income, in your fee income. So I'm looking forward to hearing you make an announcement hopefully within the next six months on that score.
Seth Van Voorhees: Thanks very much for your comments and your suggestion.
Joseph Harary: Alan, thanks a lot.
Operator: The next question comes from [indiscernible], a retired individual. Please go ahead.
Unidentified Analyst: Hi Joe, how are you doing?
Joseph Harary: I’m well, how are you doing?
Unidentified Analyst: Pretty good. I happen to listen to the gentlemen from Florida, and I spent last winter down there, and I have been to be in a Lakeland area and got behind a Mercedes van, I believe they call it a Sprint model?
Joseph Harary: A sprinter yeah, it’s very popular in the United States. It’s somewhat of a tall vehicle.
Unidentified Analyst: Well, it didn’t have regular license plates on it, it was some sort of a manufacturers plate or a vendor, but I did notice that the glass all the way around it had an unusual bluish tint?
Joseph Harary: It’s a highly customized vehicle, they use a lot for various utility vehicles, but also for airport, transport and things, it’s quite versatile and a good seller for Mercedes. That kind of a market is a good market for us because the very high end van.
Unidentified Analyst: Are they testing that glass on those panels?
Joseph Harary: Mercedes has already validated our glass, so it makes it a lot easier for them to adopt it on different applications. A lot of what they've done in the early years were on the Viano van, which is kind of the European equivalent of their luxury van, but here in the US, it’s the Sprinter.
Unidentified Analyst: Okay. I don't see a lot of that, I’m from Michigan, I don’t see a lot of those vans up here, but it really caught my eye it was all black with.
Joseph Harary: Very tall too.
Unidentified Analyst: Yes exactly. And I got online and it did seem to be airport shuttles was a major use for those. I was hoping to look and see if you could order one with the glass, but at this time no.
Joseph Harary: Right now they don’t operate with Magic Sky Control, but then again, it’s often customized in the aftermarket, they take it to these performance tuners that will put a new interiors, new seats, everything.
Unidentified Analyst: Okay. Well hopefully that'll be one of their newer options. So I just thought I would let you know.
Joseph Harary: I appreciate that, thank you.
Unidentified Analyst: Okay. Have a good day.
Joseph Harary: You too.
Operator: The next question comes from Alan Yakuboff from Wells Fargo. Please go ahead.
Alan Yakuboff: I was looking forward to the meeting, annual meeting next month, hopefully you could bring us some more good news out there, that should be interesting.
Joseph Harary: We hope there is lot of things to talk about.
Alan Yakuboff: Good, where are we on the Honda Jet? A couple of questions I think it was supposed to go through that approval process in the FAA, has it…
Joseph Harary: They got what’s called a preliminary type certificate, PTC that is basically kind of a notice from the FAA. I’m going to speak very generically and soft, and loosely, but basically it’s saying there is no problems you're about ready to get your full certification, get ready, ready to start delivering it. So that’s kind of where it is.
Alan Yakuboff: So it’s standard on that jet?
Joseph Harary: We’re talking about this year.
Alan Yakuboff: Okay. It is standard on the jet?
Joseph Harary: The SPD windows are standards on the Honda Jet, they’re produced by Vision Systems in their Melbourne, Florida plant and I got to tell you it was such a treat for me to visit the Melbourne facility and watch these windows getting produced, it really is a nice operation.
Alan Yakuboff: Any movement on the E-Class, any decision on that, any timeframe for that, because they’re going through their remodeling I would assume, and it’s somewhere along the line you think?
Joseph Harary: They haven’t informed us yet of that, but quite frankly, the way we learned about the SLK was the day they released it to the press. We knew they were working with us on it because obviously there was a lot of effort back and forth, but Mercedes tends to keep things very, very close to themselves until they're ready to say everything.
Alan Yakuboff: Alright so it’s, okay, so obviously it could be imminent, there could be several months down the road, it’s hard to tell is that what you’re saying?
Joseph Harary: They tell us about the same time we tell you.
Alan Yakuboff: Okay. Just one other question, the Lincoln, is that a prototype or is that baked or is that, because I also heard that their, I’ve been – going from 11 distributorships in China to 60 Lincoln or somewhere – New York next year?
Joseph Harary: Ford recently started making a major push in China. They realized that it’s an important market for them. If you think back to the early days of cars in China it used to be the GM Buick was the American car of choice, and I think what Lincoln is doing now is kind of brining back that nostalgic desire for American big cars like the Lincoln Continental in China because right now the Buick was surpassed by the Audi, with more of the European-style. So I think Lincoln is really playing to the nostalgic and wealthy audience in China, which is exactly I think.
Alan Yakuboff: Is there a price point on that car at this point?
Joseph Harary: They haven’t announced the price point, the Lincoln Continental concept that was shown at the New York and Shanghai auto shows was a luxury version because the focus was on the back seat and in China most cars are driven by somebody else, not the owner because for $500 you can hire a driver to take you around all month. So most people have someone driving a car for them and they sit in the back seat and use of SPD-SmartGlass glass is particularly useful there because it makes the working environment or the travelling environment so much more comfortable because of the ability to control the glare and the heat.
Alan Yakuboff: Thank you very much and good luck.
Joseph Harary: Thanks a lot.
Operator: The next question comes from Jared Albert, a Private Investor. Please go ahead.
Jared Albert: Hi Joe, congratulations everything sounds very good.
Joseph Harary: Thanks Jared and thanks for the various questions that you asked and the way you phrased them I appreciate it.
Jared Albert : Thanks for getting to so many of them. I may have misunderstood, but is the V222 still on track for the fourth quarter with MSC or are you withdrawing kind of old guidance of that?
Joseph Harary: We don’t know is the answer because Mercedes doesn’t make those make those decisions typically until a few months before they’re going to launch it. So while we hear general timeframes and things like that, until we know more, we are not giving further guidance on it. But we are seeing a lot of positive trends Jared, for example on the coupe the Magic Sky Control option, actually we’ve been told they’ve increased the allocation of Magic Sky Control on the S-Class coupe because its selling very well. They also want to make sure that Maybach has as much Magic Sky Control as they can, so that’s doing very well. And these are good things, the people – other than the chief engineer who referred to the aquarium effect for the side windows, everybody at Mercedes loves it on the roof, so it’s a good thing.
Jared Albert : The 2013 10-K anticipated the Sedan’s having it last summer I think and then it was supposed to be this spring and the dealer ordering guides just came out for July and obviously wasn’t by the time the dealer ordering guides came out we didn’t expect it for the summer, but the time July builds, is it possible to slips into 2016?
Joseph Harary: There is a possibility. At the last conference call, we were throwing about a end of the year timeframe for the option, if you look at the typical production cycle on these things even though the S-Class, the V222 roof is easier than the coupe roof and easier than the Maybach roof in terms of production. They’re probably still going to give enough lead time so that Asahi could start building those maybe four months in advance. So may start to see the revenues later this year.
Jared Albert : But it sounds like you don’t actually expect it in showrooms this year?
Joseph Harary: Jared, I honestly don’t know because they haven’t told us yet.
Jared Albert : Okay, thank you very much, and continued success.
Joseph Harary: Thanks. I hope you come to Milan also.
Operator: The question comes from [indiscernible], a Private Investor. Please go ahead.
Unidentified Analyst: Hey Joe, can you give us an update on the lawsuit?
Joseph Harary: We have been asked by our council to not publicly comment on a lot of details. I guess if you look on the public docket in Delaware you can see that there is a motion for summary judgment on one of the three patents that you know normally would be heard later on, we didn’t have a problem with the judge hearing it early, so he basically said, we don't agree with it, but if you want to hear it now you can, and that’s basically one aspect of the lawsuit. The other is we’re in the midst of the discovery process now, so documents are being exchanged between lawyers and people are looking through microscopes and things.
Unidentified Analyst: Thanks much.
Operator: We have a follow up question from [indiscernible]. Please go ahead.
Unidentified Analyst: Sorry, I didn’t think on this one I heard you before. Having traded the stocks since the early time there, sometimes traded by appointment, and now all of a sudden getting pretty decent volume every day, and I'm seeing that our institutional holders are picking up, what’s the size of the institutional holding of the stock today?
Seth Van Voorhees: Actually you’re correct that if you were to go back a couple of years ago and look at our average trading volume it was a fraction of what it is today, but having said that it’s still quite small compared to where we hope it will be in the future. As far as our institutional ownership, one of the reasons that we did the offerings that we have – that we've undertaken over the last several years was to raise our exposure with institutional investors and so as a consequence today we have two institutional investors in our – as owners that are more than 5% holders; Kevin Douglas and Neil Goldman from Goldman capital. And so while – the correct answer to your question about the percentage of institutional ownership is kind of hard depending on how you classify things, but I would certainly estimate that it will approximately 20% to 30% today.
Joseph Harary: It was like 6%.
Seth Van Voorhees: That’s right, which was multiples of where we were just several years ago, so we expect over time that that will continue to increase, and with that we also expect the trading volume to increase as well. So that’s part and parcel with us becoming more mature as a company that as we develop our revenues and our profits and you'll increase interest for both retail and institutional owners wanting to invest in our company.
Unidentified Analyst: That's true. And of course, institutions can own it, plus it’s over $5 a share.
Seth Van Voorhees: Those are certainly some of the factors that can limit trading.
Unidentified Analyst: Right, and so we’re over that now and with things picking up I don't expect we’re going to see that again, but in any event I just didn't know because I had only seen a couple of investors picked it up here lately and I see Goldman and BlackRock and Vanguard and Fidelity.
Seth Van Voorhees: That’s very encouraging, you correctly pointed out, there are some notable institutional names that are starting to invest in our company, which we take as a sign of confidence of our business plan and where we see this company going in the future.
Unidentified Analyst: Do they visit you at your home office?
Seth Van Voorhees: I’d probably not get into the specific details, but it's fair to say that when these institutions make investments they do their due diligence and they don’t do it lightly because to invest in a company like us is – it’s a new name for many of them, so they want to know what they’re investing in, and as you point out, while our liquidity has increased it still – it’s still a fraction of what other companies that are much larger than us have. So when you invest in us you want to make sure that you’re investing, you’re making a good decision. So they’ve done a lot of due diligence prior to making such a decision.
Joseph Harary: In the old days if you wanted to do due diligence on us you would come and you’d go, walk through our laboratories and see things in beakers bubbling, now a Mercedes pulls up in front of your door and shows them the roof and – or they go to Milan and see it and the due diligence is a little bit different.
Unidentified Analyst: Thank you for that information, I think we’ll just continue to see it go that way.
Joseph Harary: Sound great. Thank you.
Operator: This concludes the question and answer session. I would now like to turn the conference back over to Mr. Joe Harary for closing remarks.
Joseph Harary: Thank you, Danielle. Our mission has been to show the world how smart their glass could be. And we work with the best performing technology and a growing number of world-class companies to do this. 2015 marks the year when the most people, the most number of people in history will be able to operate first hand an SPD smart window or in fact the smart window of any kind. And tens of thousands of cars are on the road today that have SPD-SmartGlass and the roof of the Mercedes vehicles, started with roadsters and now moved to coupes and Sedans, four different car models so far and production, and it started with Mercedes, but now you’ve also seen OEMs like Ford, Volkswagen and BMW showed some remarkable concept vehicles using our SPD-SmartGlass technology. This year Honda Jet customers are expected to start receiving their jets with SPD EDWs as standard equipment and there is more to come in that market that is quite exciting. Yacht such as the Cheoy Lee and Hatteras yacht use SPD-SmartGlass today, and later this year we expect even more yacht with stunning designs made possible by SPD-SmartGlass to be launched. A growing number of museums and other institutions continue to use SPD-SmartGlass to protect their most precious artifacts. Now as recently as four short years ago, only a handful of people knew what it was like to press a button and control the tint of their glass. As of last year, tens of thousands of people could enjoy this experience in their cars primarily, but also in aircraft, boats, museums and in their homes and offices. And starting last – this past Friday, over 25 million people are going to be able to experience what it's like to press a button and control the heat, light and glare using SPD-SmartGlass at the Milan World’s Fair. They’ll finally see what we all know, how smart their homes, offices, and vehicles can be. Tomorrow, we’ll mark the estimated 1 millionth visitor to the World’s Fair in Milan where the largest SPD-SmartGlass roof in the world exist. Your investment in Research Frontiers and the trust you’ve placed in us have made this all possible. Thanks everyone for your support, your participation in our success and in today's call. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.